Operator: Good day and welcome to the Kennedy-Wilson Third Quarter 2023 Earnings Call and Webcast. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Daven Bhavsar, Head of Investor Relations. Please go ahead.
Daven Bhavsar: Thank you, and good morning. Thank you for joining us today. Today’s call will be webcast live and will be archived for replay. The replay will be available by phone for 1 week and by webcast for 3 months. Please see the Investor Relations website for more information. On this call, we will refer to certain non-GAAP financial measures including adjusted EBITDA and adjusted net income. You can find a description of these items along with the reconciliation of the most directly comparable GAAP financial measure in our third quarter 2023 earnings release, which is posted on the Investor Relations section of our website. Statements made during this call may include forward-looking statements. Actual results may materially differ from forward-looking information discussed on this call due to a number of risks, uncertainties and other factors indicated in reports and filings with the Securities and Exchange Commission. I would now like to turn the call over to our Chairman and CEO, Bill McMorrow.
Bill McMorrow: Daven, thanks very much, and thank you everybody for joining us this morning. I’m very pleased and honored actually to be here with Matt Windisch, who most of you know is the new President of Kennedy-Wilson. Matt has been together with me here at Kennedy-Wilson for 17 years. We’ve worked together on virtually every aspect of the company during that period of time. I’m also joined by Justin Enbody, who was recently promoted to Senior Executive Vice President of the company, and as you also know, has been the CFO of the company for the past 12 years. And then here with me today also, is Mike Pegler, who is the newly appointed President of Kennedy-Wilson, Europe. And Mike has been with the company now going on 8 years. And I think as you’ve heard on many of our management calls the constant in our company has been over long, long periods of time. We keep the same group of people together at the company. And so I’m very, very honored to have these 3 people alongside me today. So I’d like to start by outlining how Kennedy-Wilson’s position for today’s market environment and highlight our strategic focus before passing it to Justin to discuss our financial results. Yesterday, we reported our third quarter results, which were highlighted by continued growth in our investment management platform, positive growth from our global multifamily same property portfolio, and solid progress on completing and stabilizing our newly developed assets. Fee-bearing capital grew to a record S8.2 billion and estimated annual NOI totaled $485 million as of the quarter end. Our results were also impacted by modest non-cash fair value adjustments, which Justin will discuss in a moment. Against the backdrop of high inflation, high interest rates and geopolitical issues, I believe KW remains very well positioned to take advantage of the opportunities that come from these type of market dislocations. We have a proven history of doing this over our 35 years of investing experience. For example, in June, we sourced and acquired off market a $4.1 billion construction loan portfolio from a regional bank at a discount, representing the largest single transaction in our company’s history. This transaction was possible given our reputation in the banking industry and our ability to move with speed and certainty to get a transaction of this size closed inside of 30 days. We were also able to do this because we could deploy a very deep bench of KW people for due diligence and underwriting of each of these loans. These are all hallmarks of what differentiates KW and positions us well to continue sourcing opportunities in today’s environment. This is a very similar transaction to what we did in 2011, when we purchased, at a discount, $2.2 billion of high-quality loans secured by 23 assets in London, where, in the end, we ended up collecting 100% of the principal balances. And as I look forward to where we think opportunities may arise, we are being very disciplined and patient on capital deployment. I believe we are entering a period of time that will present ample opportunities across the real estate capital structure, and our focus remains on growing our cash flow centered around 3 key sectors. First, we’re focused on growing our global credit business. During Q3, we welcomed 40 new employees from the regional bank I mentioned, who have integrated perfectly into our existing operations and considerably strengthened our lending capabilities. We are currently one of the few active construction lenders in the U.S. market, and our team has a strong pipeline of new loans, of which a significant amount will close here in the fourth quarter. While our credit platform today is concentrated in the U.S., we’re also looking to grow our credit business primarily in the United Kingdom and Ireland, where we think there will be similar opportunities to generate attractive double-digit, unlevered returns. Secondly, we look to selectively grow our stabilized multifamily portfolio. In Q3, we completed our first multifamily acquisition in nearly 18 months, where we acquired a minority position with a partner in a brand new 315-unit apartment community in suburban Seattle. We also stabilized two projects within our 12,000-unit Vintage portfolio and delivered 1,000 newly constructed units in the Dublin and the Mountain West markets, with another 1300 units we expect to deliver by the middle of next year. Our portfolio in the U.S. is comprised of garden-style communities, 90% of which are suburban that offer a high-quality lifestyle at an affordable price point, coupled with a best-in-class amenity-rich portfolio located in Dublin where occupancies sit at 98%. We have over 33,000 stabilized units that are 94% occupied, with another 4,000 units in development and lease up that we expect will add $40 million to $45 million in NOI to KW once completed and stabilized. Thirdly, we are focused on growing our industrial assets under management, which today totals almost 11 million square feet, where leasing trends continue to remain very favorable. We added 183,000 square feet to our logistics portfolio in the quarter and have a number of opportunities in the U.S. and Europe in our investment pipeline, including the acquisition of $115 million industrial property located in the Western United States, which was completed yesterday. Importantly, we also anticipate a major reduction in development spending in 2024. We are in the final stages of completing a $3 billion construction pipeline. This year alone, we have spent $300 million of capital on new construction and value-add projects, which we anticipate going down to less than $100 million in 2024. We continue to remain very focused on reducing costs at both the corporate level and the property level. With that, I’d like to turn the call over to our CFO, Justin Enbody, to discuss our financial results.
Justin Enbody: Thanks, Bill. I’d like to start by covering some of the key drivers of our Q3 financial results. Consolidated revenues improved to $141 million, with increases in hotel income, investment management fees, and loan income compared to Q3 of last year, including our partnerships, our share of recurring property NOI, and fees totaled $131 million in the quarter, improving slightly from Q3 of ‘22. Our co-investment portfolio includes assets that we own with partners, which are unconsolidated on our balance sheet and largely held at fair value. In Q3, we saw valuations of our $2 plus billion co-investment portfolio decline by 3%, or $74 million on a net basis, with estimated fair values being impacted by the implied expansion in cap rates, primarily as a result of the higher interest rate environment. Our fair value portfolio includes assets we intend to hold long-term and consist of joint ventures with well-capitalized institutional partners. We also saw lower realized gains on sell in the quarter due to lower volumes of dispositions. Our Q3 asset sales included the disposition of a consolidated 200-unit multifamily community in Montana, which generated a gain of $20 million. We also completed further dispositions in our non-core retail portfolio, which now totals only 5% of our overall investment portfolio. In total, we had a Q3 gap net loss of $0.66 per share, which includes the non-cash items such as depreciation and fair value adjustments I mentioned, adjusted EBITDA total of $33 million in Q3 and $319 million for the year, which includes $74 million and $108 million of negative fair value adjustments in those periods. Looking at our balance sheet and debt profile, at quarter end we had $331 million of consolidated cash and $146 million drawn on our $500 million line of credit. Our consolidated debt has declined by $330 million in 2023. Our share of total debt is 100% fixed or hedged with a weighted average maturity of 5.4 years. As of September 30th, our interest rate hedges cover $2.2 billion of notional at the 100% level with a weighted average maturity of 1.7 years and a weighted average strike of 2.5%, well below today’s rates. In Q3, we collected $12 million of cash from our interest rate hedges. Additionally, our effective interest rate of 4.3% has essentially been flat for the year and reflects a 68 basis points of saving over the contractual rate due to our hedging strategy, as I mentioned. Our near-term maturities are limited with 6% of our debt maturing by the end of next year. Looking at that maturity, looking at the maturity detail, in the U.S., we have 2 multifamily properties that have debt maturities in Q3 and Q4, totaling $75 million, and $38 million of maturities in our Vintage Housing portfolio. We also have $50 million remaining related to a U.K. retail portfolio, which we have been selling down and ultimately anticipate paying off next year. The remainder of our maturities primarily relates to our properties that we own in Ireland, where rates are lower, as seen in the 10-year Irish government bond, which currently trades at 3.1%. With that, I’d now like to turn the call over to our President, Matt Windisch, to discuss our investment portfolio.
Matt Windisch: Thanks, Justin. Starting with our multifamily portfolio, this sector is our largest and represents 54% of our stabilized portfolio. It produces $468 million of NOI, of which our share is $260 million. Globally, same-property multifamily revenue grew by 4%, and NOI grew by approximately 3% in Q3. In the U.S., we saw healthy renewal growth rates of 5% and total blended leasing spreads of 2%. Our U.S. market rate portfolio ended the quarter with a loss-to-lease of 5%. Strongest performance was in our largest apartment region, the Mountain West, which generated same-property NOI growth of 5%. Our Mountain West assets are diversified across states such as Colorado, Nevada, New Mexico, Utah, Arizona, and Idaho. Leading the charge in the Mountain West was our New Mexico and Colorado portfolio, which saw robust same-property NOI growth of 14% and 9%, respectively. Our Mountain West portfolio’s average rents total an attractive $1,600, and we believe these cities will continue to draw residents seeking a more affordable, high quality of life. In the Pacific Northwest, our second-largest region, same-property NOI grew by approximately 4%. This portfolio is largely comprised of our assets in and around the Seattle region and benefited from increasing occupancies in a 4.4% growth in revenue. This region continues to recover as return-to-office mandates are driving incremental demand for rental housing. In our California portfolio, our results are still seeing the impacts of elevated delinquencies, higher operating expenses, and lower occupancy as a result of non-paying tenants. We also saw the end of governmental rental assistance, which totaled $2.8 million in assistance for the first 9 months of the year, compared to $200,000 thus far this year. We are making progress recapturing units from non-paying tenants, which is a positive trend. We anticipate this continuing in the coming quarters and a headwind becoming a tailwind as we release these units at market rents and improve overall occupancy. Including California, U.S. market-rate same-property NOI grew by 4.4% versus 2.5%, including California. We also made progress on our renovation program, completing another 370 units at an average cost of $13,000, resulting in a 22% increase in rents. We’ve completed 1,100 units thus far in the year and have another 5,500 units that are remaining to be renovated in the U.S., with 80% of those units located in the Mountain West or Pacific Northwest. At our Vintage Housing affordable portfolio, we saw very strong revenue growth of 7%, driven by increasing levels of area median income, resulting in NOI growth of 4%. Increases in operating expenses were primarily due to higher labor and maintenance costs in the quarter, along with elevated insurance costs. In the lease-up and development portfolio for Vintage, we stabilized two properties, totaling 424 units in the quarter, bringing our stabilized Vintage portfolio to over 10,000 units. Looking ahead, the completion and stabilization of another 1,800 units and our development pipeline will grow our total portfolio to almost 12,000 completed units. As we continue to explore new prospects, we are dedicated to seeking additional growth opportunities within this venture. In Dublin, Ireland, demand for rental housing remains quite strong. Our portfolio is 98% occupied. We saw same-property NOI growth of 4.5%, driven by increasing levels of occupancy. Dublin has one of the fastest-growing populations in the EU and continues to see a structural undersupply of housing, which bodes well for our developments. In Q3, we delivered nearly 800 units at our Grange and Coopers Cross developments, as well as adding units at our existing Stamford Lodge community. We are extremely proud of these best-in-class projects, which are in prime locations. To date, leasing velocity has outperformed our expectations. For example, at the Grange, we are already almost half-leased within 10 weeks of completion, with average rents that are roughly 10% ahead of business plan. We have another 230 units we are in the midst of finishing and delivering early next year, which will grow our Dublin apartment portfolio to over 3,500 stabilized units, with an expected incremental $13 million in NOI to KW from the stabilization of these developments. Now we will shift our focus to the credit business. As Bill mentioned, growing our debt portfolio remains a key priority for us. In Q3, we closed the final tranche of loans acquired from Pacific Western Bank for $212 million. We also completed $252 million of additional fundings and realized $376 million in repayments, which included capturing $12 million of discounts. Our debt portfolio totals $6.5 billion in loan commitments, including future fundings, which has now doubled in size during 2023. KW’s investment in the debt business currently sits at $255 million in loans outstanding. Returns from our floating rate loan portfolio have benefited from rising base rates. We’ve seen a pullback from traditional lenders and believe we are well-positioned today to continue growing this business. Since joining KW, the new team of 40 people has been actively pursuing opportunities and we have a healthy pipeline of deals. We closed our first loan in October with a total loan size of $77 million and we have another six loans that we are expecting to close in the next few months. Our platform has additional capacity to grow by approximately $2 billion based on the commitments we already have in place. Turning to our industrial portfolio, fundamentals for our European industrial portfolio remain strong. Market rents have continued to grow, with average industrial rents having increased by approximately 8% in the past year. During the quarter, we added two more assets to our EU industrial platform, which now totals $1.6 billion in AUM and is 97% leased. Leasing transactions completed in the quarter resulted in a 66% increase in in-place rents, which were 13% above our underwriting. Year-to-date, we have completed 40 leasing transactions, delivering a 55% increase in rent, and those are coming in well above our business plans. This strength is a result of the significant under-market rents embedded in our portfolio, which totals 26% at quarter ends. We look to continue capturing this mark-to-market over the years ahead. We continue to have high conviction in our European logistics, which has seen continued strong performance in the occupational market. We are now able to acquire high-quality assets at higher projected stabilized yields than we have seen in recent years. Our joint venture has over $1 billion in AUM capacity, and we believe we will see good opportunities to deploy capital in this sector in the coming quarters. In total, our investment management platform has an incremental $3 billion of non-discretionary commitments and future fundings, which we will look to deploy primarily across our debt and logistics platforms. This should add significantly to our existing $8.2 billion in fee-bearing capital, which grew by 4% in the quarter and has more than doubled in the past 3 years. Turning finally to our office portfolio, our office portfolio is primarily comprised of high-quality assets located in Dublin and the UK. Same-property revenue and NOI in our European office portfolio was largely flat in the quarter. We saw positive NOI growth in Ireland, driven by successful rent reviews, offset by declines in our non-core Italian portfolio. Our stabilized portfolio in Europe is well-leased to a solid roster of tenants with a weighted average lease term of 8 years to expiration and occupancy of 95%. In the U.S., our office portfolio is primarily owned through our funds and partnerships in which we have a minority position. We have only six assets in which our ownership is greater than 50%, and this represents less than 7% of our stabilized portfolio. Globally, we completed 120,000 square feet of office leasing in the quarter, bringing our year-to-date total to approximately 800,000 square feet. Overall stabilized office occupancy totaled 93% as of September 30th. With that, I’d like to pass it back to Bill.
Bill McMorrow: Matt, thank you. In closing, I’d like to highlight several important takeaways from today’s call. Number one, we have an incredibly dedicated and talented global team at KW that’s worked together for decades, the best team we’ve ever had here. We have limited debt maturities in 2024, all at the property level. Justin pointed out we have a predominantly fixed-rate balance sheet with long duration and a low effective borrowing rate of 4.3%. We have minimal capital requirements next year due to the near-term completion of the majority of our developments, which we started many years ago. And lastly, we have a growing credit business combined with long-term institutional partners that are prepared to deploy capital and do property-level investments at the appropriate time. With that, I’d like to open it up to questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Anthony Paolone with JPMorgan. Please go ahead.
Anthony Paolone: Great. Thank you. My first question relates to just growing the credit business and the priority there. I was wondering if you can maybe help us with some brackets to think about what the new team has to originate on, say, like a quarterly basis to kind of keep the AUM flat or to grow it because you’ve got commitments to finish up funding construction loans, you’re starting to get paid back, and you’ve got the new team to originate. So I’m just trying to piece that all together to get sort of order of magnitude.
Matt Windisch: Anthony, this is Matt. Happy to answer that. I think one thing I’d note is within the existing portfolio that we acquired from PacWest earlier this year, there are future fundings, and so right now, we’re funding almost $300 million a quarter on those development projects, and as that comes into the platform, that $300 million, we then earn fees on that. So that’s not part of the fee-bearing capital today, so that’s an add. We did have a few loans that paid off, as expected, pretty quickly after the acquisition. We expect that to slow down here for the next 6 to 9 months. We don’t think there’ll be as many repayments, just given where things are in the process of development. But I can tell you the team has been unbelievable in terms of their origination capability, certainly beyond our expectation of what they could produce in a very short period of time, and a lot of it’s come out of existing relationships with both borrowers, sub-debt providers, and of course, the brokerage community. And so for us, we don’t like to set any targets in terms of what we want to originate. We’re only going to originate things that make sense in terms of the risk profile and the return that work for us and our capital partners. With that being said, I mean, they are off to the races, and we’re on track to close, I’d say, over $0.5 billion this year, if everything goes according to plan. And the pipeline remains extremely strong. For us, we’re really playing in the 50% to 55% loan-to-cost range and doing primarily residential projects, so we feel very comfortable with that risk. And it’s a return that certainly works for our capital partners and works well for Kennedy-Wilson. So we feel we’re on a great track, but there is no specific set target. But based on what the team’s doing, they are certainly growing the business at this point in time.
Anthony Paolone: Okay. And then just with regards to the PacWest team you brought over, is this primarily going to be originating new construction loans, or do they have a broader mandate to do other stuff?
Matt Windisch: Yes, look, I think right now we’re seeing construction lending being a very attractive area to deploy capital, and that’s been the primary focus. With that being said, the team has experience doing construction lending, bridge lending, subordinate debt lending, so they have got the gamut of experience, about half the team is really focused on originations, about 20 of the team, that’s their role. But there is 20 people we brought on who are solely focused on asset management, which is a key component to making sure once we originate these loans that we’re monitoring them and working with our borrowers. In construction, things don’t always go exactly according to plan, so you have to be able to work with your borrowers and shift things around. And so we’ve got a team that’s very experienced in that area. So half the team is focused on originations and half is on asset management.
Anthony Paolone: Okay. And then the second question relates to, I think, the dividend, and can you maybe just give us a sense of your view on thinking about the dividend where it’s capital out the door versus perhaps finding other places to invest, especially in a capital-constrained environment. You are not a REIT, you don’t have to pay it. So just any thoughts there?
Bill McMorrow: Well, I think, Tony, this is obviously something we review every quarter. I think the point I was trying to make with the capital expenditure spending that we’ve had to do really over the last 10 years. Generally speaking, these construction projects that we have been involved in, which we are stabilizing at very attractive cap rates, we are 50-50 partners with big institutional players. And so when you are doing a pipeline of that level, you have got to come up with a lot of capital every year. The point I really wanted to make is that that number is declining in a very, very meaningful way starting next year because we are completing this pipeline. The other point that I want to make is that as we continue to grow the debt business, we are typically a 2.5% to 5% investor in that platform, as opposed to some of these bigger developments that we have been doing where we are a 50% owner. And so you are going to see us free up cash flow and capital from really the lower level of investing we are doing as a percentage of the entire capital structure and from the capital expenditures that we have been doing. I would say the third thing that we are focused on is, I think any company is both at the corporate level and at the property level, is the management of expenses. And so where we have and we continue to implement meaningful expense reductions at the corporate level and at the property level. And so all of those things combined with the growing of the cash flows, some of the isolated asset sales we are doing, the smaller level of capital utilization, give us comfort to continue paying the dividend.
Anthony Paolone: Okay. Thank you.
Operator: Our next question comes from Josh Dennerlein with Bank of America. Please go ahead.
Josh Dennerlein: Yes. Hey guys. Maybe just a tangential follow-up on that one. Just with the development pipeline slowing, it sounds like you will be less active on that front. Is that a function of opportunity set or a change in strategy or just like how should we think through that?
Bill McMorrow: It’s not necessarily – well, it isn’t a change of strategy. We just feel that there are better opportunities to. When you look at these development deals, the timeframes that you have to think about from the time you start to when you actually stabilize these assets can be as long as 4 years. And so we see many developing opportunities, certainly in our credit business like Matt alluded to, we have got the ability to deploy a tremendous amount of capital into that business where you are getting a current return in the double-digit arena. We are also starting to see some – we have made now two equity investments. Those are the two only equity investments that we have really made of any magnitude in the last 18 months. We are starting to see opportunities show up there. So, the development piece, it’s always the case that it runs its cycle. You have higher quality – we have very, very, very high quality assets now that we have completed generally, in platforms with big, big institutional partners where we plan to keep these assets long-term. The development business in the kind of cycle that we are in right now really starts to show up as people get long land positions where discounts come into play, which is something that happened for us in Ireland during the Great Recession. But most of the development that we have done has been on properties that were adjacent to properties that we already own where there was existing cash flow. So, Clancy, in Ireland is a really, really good example of that. We bought a property that had 420 finished units, but there was roughly another eight acres that we owned that came along with that property. Today, we have – it’s the largest multifamily property in Ireland. We built out another 500 units approximately, and so it’s a 900-unit project, but it’s on the same piece of land that we bought back in 2013.
Josh Dennerlein: Appreciate that color. And one more from me, just on the co-investment fair value accounting, could you walk us through that and then just maybe how to think about it as we go forward for, on a go-forward basis?
Bill McMorrow: Yes. I am going to ask Justin to really answer that question, but I would start the answer if I could, Justin, by just saying that the adjustments you saw in the quarter were basically inside three partnerships where you have got three institutional quality owners that have over $2 trillion of assets under management. And so these were never assets that were intended to be sold, they are long-term – they are assets that we are holding for the long-term, but then I would turn this over to Justin to amplify on that.
Justin Enbody: Yes. Hey Josh. So, there is about $2 billion in that investment bucket that exists that sits sort of in what we call fair value partnerships in every quarter, we go through the process of valuing those investments. And as you know, they go up and down over time, and we have had times where they have gone up and we have had times where they have gone down. Ultimately, obviously, in our disclosures, our goal is to also communicate to you the cash flows of those properties and what our long-term investment plans are. And so – but I think to your point, there is, as I mentioned, there is about $2 billion of properties that are going to have quarterly valuations attached to them, and ultimately, we would communicate differently if they are ever realized.
Bill McMorrow: I would say, too, Justin, I don’t – I am not – you basically should ignore these ups and downs as best you can. As I have said, these are assets that we plan to hold long-term, but as Justin said earlier in his part, when you have got interest rates rising, the implied cap rates widen, and so you have got to make these adjustments that are non-cash in nature.
Josh Dennerlein: Okay. Thanks for the time guys.
Operator: [Operator Instructions] Our next question comes from Tayo Okusanya with Deutsche Bank. Please go ahead.
Tayo Okusanya: Hi. Yes. Good afternoon everyone. I just wanted to stick with multifamily for a second. The first question just around, again, the California portfolio and just some of the more – some of the challenges going on in California. Just kind of curious your thoughts on how you see that ultimately playing out, how soon some of these kind of eviction issues and things like that, ultimately end up playing out, and how quickly that becomes less of a headwind to the portfolio?
Matt Windisch: Thanks Tayo. This is Matt. Yes, I think we are getting towards the end of it. There is still a little bit of time to go to get this all cleaned up. So, I think as we have said in the prepared remarks, right now it’s a headwind, but I think the interesting part is the loss to lease on those assets in California is actually quite high. And so as we are able to re-tenant some of those buildings, you are going to see a nice leasing spread come in on those assets. So, it’s hard to put an exact time around it, but I think it’s probably another quarter or two quarters where you will see a bit of a headwind. But I think pretty quickly you will see that become a tailwind where you will see occupancy go up and you will see some good lease trade-outs. It’s really a point-in-time issue. I think once we get through this, those properties are going to perform very, very well over the next couple of years.
Tayo Okusanya: Okay. Matt, that’s helpful. And then on the development side, just with the multi-portfolio, again, just given a lot of the assets are about to deliver. Just curious, again, what you have seen in the markets about the take-out of your construction loans on those assets. I am just curious what – how lenders are looking at this, if they are getting more conservative on NOI outlooks or debt service coverage ratios are getting tighter, and what could that ultimately mean for kind of like the permanent financing you need to get to take out the construction loans, and if potentially you may even have to put in some equity or something else, some cash-out lease to kind of balance all that out?
Matt Windisch: Yes. If you look at our overall development and lease-up pipeline, the overall leverage is roughly 33% against our gross asset value. So, we feel very comfortable, like on the multifamily assets we are finishing, we started these 3 years ago, the rents are significantly higher than we thought. Obviously, interest rates are up. So, there is a pretty good counterbalance on that. So, we think, if anything, it’s probably going to be a net-neutral, maybe some ability to take cash-out on some of the deals, but we don’t see a need to really put a lot of capital in given where the market conditions are today. And I think a lot of that has to do, again, with what’s happened with NOIs on our projections, 3 years ago versus where we are today. So, we are very comfortable with financing all of that, whether it’s original or with the agencies.
Tayo Okusanya: Okay. And if I may ask another one just around your NAV disclosures and the NOI there, just curious, again, just from a cap rate perspective, again, a lot of your assets are pretty unique. Again, you are in some unique markets. You are doing some interesting things in affordable housing and things like that. How does one kind of start thinking around kind of cap rates we should be applying to some of these kind of NOI streams to kind of come up with a decent kind of NAV value on you guys? Like what’s happening with cap rates? What are you seeing in some of the key buckets?
Matt Windisch: Yes. Well, I would say, look, transaction volumes are obviously significantly down. And I can only tell you, like, what’s happening with what we have sold. So, the apartment asset we sold in the quarter, we sold at just under a 5% cap rate. And then in other cases, we are buying stuff for higher cap rates. So, it’s hard to put an exact figure on it for sure. I would say for us, over the long run, we have a lot of faith in the assets we own. We believe in the business plans. There is obviously comps out there that we look at when we do our fair values and things like that, so happy to go through that in more detail offline. But I think overall, clearly, there has been an increase in cap rates over the past year. I think that’s the fact. It’s just how much are they up, 25 basis points, 35 basis points, that’s harder to put your finger on. I could say as well, in our – if you look at our Irish portfolio, for example, there has been no trades in Dublin to speak of in that space. And a lot of these things we have owned for 6 years, 7 years. And in many cases, we have stabilized these at cap rates that are 9% or 10%. So, we feel very good about the portfolio.
Tayo Okusanya: Got it. And then last one from me, if you could indulge me, the 30% of debt that is floating rate debt, but has caps on it, again, the caps have, or all the swaps have 1.7-year duration. But just kind of given this idea of kind of rates being higher for longer, just curious how you kind of start thinking about that as the caps start coming off in 2024 and 2025. Do you let this stuff float? Do you have to put in new caps that’s going to increase the cost of debt around some of that debt as it starts to mature?
Matt Windisch: Yes. I mean for us, we are – as we mentioned, we are 100% hedged right now. We have historically been somewhere in the range of 90% to 100% hedged on our portfolio. So, we definitely like to keep it within that range. I think one thing is that we have done a lot of swaps historically. And as we are thinking about some of those swaps coming off, we are more likely to do caps at this point, as opposed to swaps, so that we are locking in the rate, but we are kind of fixing the cost of that hedge versus having an uncertainty around the value of the swap. So, we may change the way we hedge, but I think we are still going to remain somewhere in that 90% to 100% hedged range over the next year.
Tayo Okusanya: Got it. Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Bill McMorrow for any closing remarks.
Bill McMorrow: Well, thank you everybody on the call. As always, we remain available to talk to anybody that’s got any follow-up questions. So, have a great day. Thank you.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.